Operator: Good morning, and welcome to the Crown Holdings' Third Quarter 2011 Earnings Conference Call. Your lines have been placed on a listen-only mode until the question-and-answer session. Please be advised that this conference is being recorded. I would now like to turn the call over to Mr. Timothy Donahue, Executive Vice President and Chief Financial Officer. Mr. Donahue, you may begin.
Timothy Donahue : Thank you, Shirley and Good morning to everybody. Welcome to Crown Holdings' third quarter 2011 conference call. With me on the call today are John Conway, our Chairman and Chief Executive Officer; and Tom Kelly, Senior Vice President, Finance. Before we begin, I would like to point out that on this call, as in the earnings release, we will be making a number of forward-looking statements. Actual results could vary materially from such statements. Additional information concerning factors that could cause actual results to vary is contained in the press release and in our SEC filings, including comments in the section titled Management's Discussion and Analysis of Financial Condition and Results of Operations in Form 10-K for 2010 and in subsequent filings. A reconciliation of generally accepted accounting principles to non-GAAP earnings can be found in our earnings release. And if you do not already have the earnings release, it is available on the Company's website at crowncork.com. You will also find a reconciliation from net income to EBITDA, credit ratio computations, and supplemental cash flow data on the Company's website. I'll first review the quarter, update guidance, and then pass on to John for his comments. Comparable diluted earnings per share were up 19% to $1.01 versus a $0.85 in last year's third quarter. For the nine months, comparable diluted EPS was $2.32 compared to $1.81 last year, an increase of 28%. Despite the recent strength in the U.S. dollar, currency translation has had a positive impact in the quarter, and if current rates hold will be positive for the full year. Net sales in the quarter increased 10% over the prior year due to global unit volume growth in beverage, the pass-through of higher raw material costs, and $92 million of currency translation, off-setting softness in Global food can volumes. In addition to weakening macro factors, adverse weather in both North America and Europe had an impact on volumes in those regions. Additionally and as an example of how severe regional weather conditions have been, Ireland is currently experiencing its worst flooding in over 50 years. Conditions there are very bad in many areas and while not disrupting our plant operating activities, certainly have impacted food and beverage cans demand there. However, continued strong volume growth across the balance of Asia and also in Brazil resulted in global beverage volumes being up 3% in the quarter, while food cans with only little emerging market exposure were down 4% in the quarter America’s Beverage revenue increased 9% in the quarter, due mainly to the pass-through of higher aluminum cost and $7 million of currency translation. Segment income was up 4% in the quarter, reflecting positive mix and improvements to ongoing productivity on the three new Brazilian lines commercialized in the first half of this year. Volume in the segment was up marginally in the third quarter reflecting strong gains in Brazil offset by a 3 ½ % decline in the much larger North American market. Incremental pricing actions by some of our CSD customers and adverse weather both impacted North American volumes in the quarter. Importantly, our new two line plant in Ponta Grossa, Brazil and the second line in Estancia, Brazil are running extremely well and we are looking forward to a strong summer selling season in the southern hemisphere in the fourth quarter of 2011 and the first quarter of next year. Third quarter revenues in the North American Food business were essentially flat, reflecting the pass-through of higher steel cost, which offset a 4 1/2% decline in unit sales. Poor weather conditions in the mid-west impacted yields across many products notably corn this harder season. However, as has been the case throughout 2011, we continue to benefit from lower costs primarily resulting from the closure of Canadian plants last year and also from the ongoing positive mix effect of increased vacuum closure sales with segment income increasing $7 million over the prior year. Reported European Beverage revenues were up $50 million or 10% due to 3% sales unit volume increase, a pass-through of higher raw material costs and $14 million from currency translations. The segment's income was down $9 million from the prior year, and reflects lower production activity than planned as we adjust to weaker consumer demand. In our European Food business, revenues increased $65 million or 12% primarily due to $42 million in foreign currency translation and the pass-through of higher steel costs which offset a 4 ½ % volume decline. A result of the weakening economic conditionals and cool and damp weather across much of Northern Europe which depressed yields. Segment income was up 5% as ongoing cost reduction efforts and currency offsets the lower volume levels. Excluding the impact of currency translation and the pass-through of higher steel cost, specialty packaging had another solid quarter with results essentially in line to the prior year. Our non-reportable businesses had another strong quarter; revenues were up 18% over the prior year. As Asian beverage can volumes were up 13%. As we discussed throughout the year, demand remains very strong in China and South-East Asia and we have much needed capacity starting up next year. We have commercialized two new beverage can lines this year including a new plant in Hangzhou, China in June and the second line in the Phnom Penh, Cambodia plant earlier this month. We expect commercial startups at three new Chinese Greenfield’s plants Putian, Ziyang and Heshan over the first three quarters of 2012. Additionally we have recently announced that we will double the Putian facility to two lines by the first quarter of 2013 and build two more new plants in Zhengzhou and Changchun, China to be commercial by 2013 also. Interest expense in the quarter was $3 million higher than last year and for the nine months is up $27 million, reflecting higher debt and higher average borrowing rates. However, the capital structure remains very flexible and we have no significant long term debt maturities until 2016. As discussed in last night’s earning’s release, we are required to take a charge for a French tax law change enacted in September and retroactive to January 1, 2011 which includes limitation on the use of tax laws carry forwards. The timing of the law change is unfortunate as it limits the NOL benefit we have scheduled to use to offset the extra charge income on the company’s European headquarters move to Switzerland. Free cash flow for the nine months is below the same period last year and reflects higher working capital and higher capital spending. Trade working capitals of &386 million on last year reflecting higher inventories. Results of that, the inflation impact on inventories, inventory build ahead of the seasonal demand in Brazil and Asia and softer develop market demand in quarter three than forecast. We had a lot of work to do over the balance of this year but as always we will adjust our production schedules in Q4 to reflect the changes in the business, so that we do not carry too much working capital into the following year. We now project free cash flow to be in the range of $350 million to $400 million for the year. All in all, we have had a strong nine months with comparable earnings per share of 28% over last year. As we have said before we are fortunate to be in the business we are in, while we are not immune to the global economic conditions and the volatility that surrounds us, our business’ defenses with an increase in position in growth markets. We expect to continue to grow shareholder value through an a combination of an emerging market expansion by continuing focus on productivity improvements in cost containment and by returning free cash flow to shareholders. At current exchange rates we project 2011 comparable earnings per diluted share to be in the range of $2.75 to $2.85. With that, I'll turn it over to John.
John Conway: Thank you, Tim, and good morning. As Tim pointed out, we've had a solid quarter particularly given demand issues in certain of our larger developed markets. On a continuing basis, net income was up 19% compared to last year and revenues increased by 10%. The global beverage cans sales units increasing by 3%. While emerging markets demand was generally strong, certain of our businesses in North America and Europe experienced demand below prior year and our expectations. We believe that this is explained by two principle factors, poor weather in Western Europe and North America that negatively affected the various vegetable pacts on those continents and somewhat weaker demand that we believe is attributable to continuing economic slowness and relatively high levels of unemployment in North America and Europe. Our plants around the world continue to run exceptionally well and we did a very good job controlling costs. On the other hand because the slowdown in sales verses our expectations occurred largely in the second part of the third quarter, we clearly finished the quarter with higher levels of working capital than needed. We are working diligently now to bring working capital down and finish the year with relatively strong free cash flows. As you know we have an extension that an important beverage canning capacity expansion program underway which is supported by relatively high levels of capital spending. Virtually all of the spending is directed to very promising emerging markets. We have reviewed this program carefully to ensure that current demand projections still support our activities. At this point they do and so we intend to carry on with the broad outline of the capital program as we have described to you in the past. However, we will continue to look project by project and market by market and adjust appropriately. As a consequence of our recent review, we have concluded that we will delay our project in Turkey by several quarters and which was a project at a new beverage can plant in the South Eastern part of the country. Also we will delay our new plant startup in Belem, Brazil by approximately one quarter. Otherwise we will continue with our capital program. Of course if circumstances change, we will adjust capital expenditures appropriately. In summary, everything considered, the company had an excellent quarter and demonstrated very strong performance subject to the reservations I mentioned above. The increase in sales and income both in the quarter and year to date and our expectations for the year support the preposition that Crown is exceptionally well positioned in the global metal packaging business and our prospects remain very good. And with that I think we can answer questions.
Operator: Thank you, we will now begin the question and answer session. (Operator instructions) and our first question comes from Tim Thein with Citigroup. You may ask your question.
Tim Thein - Citigroup. : Great, thank you. Good morning. Tim, just curious if you have any updated thoughts with regards to looking at the pension situation for next year from a funding perspective as you look – obviously it’s a moving target here with rates and we’ll see how the asset performance does. But can you kind of give us what you are looking at in terms of potential funding, in terms of size into the fourth quarter ahead of next year?
Timothy Donahue : So this year we are contributing roughly $75 million and that will be for non-US plants and that number should remain very consistent through next year, we had a funding holiday in the United States this year as we have had for the last several years. That does come to an end and as we disclosed in the company’s 10-K for 2010, we did provide an estimate of what we thought total contributions would be in 2012 verses ’10 and ’11 and that incremental was due to the US. That was about at the time, the incremental amount was about $70 million if I recall. Certainly conditions worsened since February or January of 2011 and that the equity markets certainly have not been positive this year and the discount rate is – well, it’s improved, the 10-year bond is certainly improved over the last couple of weeks, it’s certainly far lower than we had anticipated back then. So incrementally next year, I think the number is – too early to say but somewhere between $70 and $100 million but as you know we are market to market for accounting and the IRS funding rate is a smooth rate over two year period. So it would really depend on when we end the year at.
Tim Thein - Citigroup. : Okay. And got you and to switching gears to the non-reportable segment. Can you just may be give a top, kind of an overview in terms of what the margin profile on that business looks like as the mix continues to shift more and more away from food and aerosol towards the Bev cans and you know it has been one of your highest margin businesses. Can you give thoughts in terms of what that looks like if you ramp up capacity over the next say one to two years?
Timothy Donahue : Well, there is no food in that business; it’s the North American and European aerosol business. The machinery operation we have that make beverage can machinery equipment in the UK and the Asian operation that is China and South East Asia beverage and food can. Its roughly 60% of the revenues roughly come from Asia with most of the balance coming from the aerosol business, the margin and profile is the margin you see reported there. I am not going to go into any more detail about the margins underlying the total margin but the margin is roughly 17% in the quarter and roughly 17% for the full year. I think it’s important to note and we have provided at various conferences and those presentations are on the company’s website. The timing of the capacity expansion program we have around the world and specific to Asia, we’ve only recently began to add capacity in Asia. So the Hangzhou plant started commercial operations in June and obviously is still in learning curve. Cambodia, the second line in Phnom Penh only one commercial two weeks ago, so that is very early on. So most of the growth relative to the expansion program and the adjustment of the margin profile that you are looking for will not happen until 2012 and 2013 and that is non-reportable segment across the Asian region.
Tim Thein - Citigroup. : Okay. And one last one. Within Europe, Bev cans, can you comment in terms of the volume trends with regards to Europe relative to the Middle East?
Timothy Donahue : Yeah. Give me a second here; I think we probably have that. So overall we said we were up 3%, Europe was up a little more than 4% and the Middle East was about a half a percent up.
Tim Thein - Citigroup. : Okay. Great, thanks a lot.
Timothy Donahue : You are welcome.
Operator: Thank you. Our next question comes from George Staphos with Merrill Lynch. You may ask your question.
George Staphos - Merrill Lynch. : Thanks. Hi guys, good morning. Thanks for all the details. Maybe segueing, first off, the last question from Tim. Now if we look at the European beverage can margins, we’ve been down fairly consistent I think over the course of the year in every quarter 200, 300 basis points. I know obviously volume has been an issue, but can you comment as to whether there’s been any structural changes in the market place from what you’ve seen and can you give us an update on how the Czech plant has been coming up both line one and line two.
John Conway: Yeah George, John Conway.
George Staphos - Merrill Lynch. : Hi John.
John Conway: Hi there George. Now there’s nothing fundamental structural that has changed in the market from what we’ve been describing for or Crown situation and as to Slovakian plant, it continues to run better, come up the learning curve, so we are really pleased with that. And then as Tim mentioned we had planned for more activity in the third quarter, we started July pretty well but then tailed off noticeably in August and September and so had to reduce production operations and cost per unit ran up. So nothing more than that in Europe.
George Staphos - Merrill Lynch. : John from your side, I know you said its weather and the economy and that’s fair, but would you say that the effect is really more economically centered from what your customers are saying right now? And here I am speaking more broadly than just Europe and in your developed market where you’ve seen some volume sluggishness. Do you think it’s been more that the consumer has been pinched or do you think it’s just in the weather has been terrible. Which is your stand?
John Conway: George, I can't tell which is more. In Europe, clearly Western, North Western Europe there was clearly an adverse whether effect and I think perhaps that generally outweighed economic considerations, but again this is pure speculation as you can imagine. Spain slowed up a little bit in the third quarter and then certainly in wasn’t weather. Greece has been a little weak for a small market but still a little bit weak. So it’s really hard for me to tell, but I think it’s a combination of both factors and in North America I think it was more weather than anything else in the food pack. So we think it’s a little bit of both but hard to measure in proportions.
George Staphos - Merrill Lynch. : Okay. Two questions on sustainability if you will. On the one hand, the North American food Can margin are the highest that I can ever remember. Thing from you or perhaps anyone of your peers. So congratulations on the one hand but do you think you can actually maintain this into the future and as we think about free cash flow to get to the free cash flow guidance that you have, you need a free cash flow generation for the record books fn the fourth quarter given our data. What gives you comfort that that is an achievable goal.
John Conway: Well, I think it’s the food in North America, we think the margins can be maintained, I mean they really reflect in our case a dramatically better cost base than we’ve had in the past and we’ve talked about the restructuring and so forth that we’ve done. Our mix is very good and lines up exceptionally well against our low cost production assets and the market is stable and we have no aspirations for market share gain and so on. So I think food should hold up well. I agree with you uncharacteristically, high but we think maybe it’s going to be a new enduring characteristic. And there’s the second part of your question, what was it George?
George Staphos - Merrill Lynch. : Free cash flow, I mean I would figure minus 400 thus far. You’ve still guiding at 350 plus. So…
John Conway: Well, look, I mean no question as we told you food volumes around the world offer an average of 4% but in some places more than others and I wouldn’t say it caught us by surprise, but you know the food pack and the way it always seems to work, I mean July started pretty well for us, a lot of enthusiasm on our part and our customers and then August slowed quite a bit. But in the food business, you are always into this thing, okay did it slip into September and so forth and we thought it did so we carried on and we just built up too much working capital. And to a lesser degree that was also true in beverage in Europe and not so much the US but – now it’s 10/7 as we said in the release and I said in the remarks we are going to work it down aggressively, we are doing that and so what we think – we are going to do fine with free cash when you consider what happened in the quarter. So time will tell here but not very much time, we will know this within the next couple of months but we feel pretty confident about the guidance we’ve given you and we could do a little better but we’ll see.
George Staphos - Merrill Lynch. : Okay, thanks I will turn it over.
John Conway: Thank you.
Operator: Thank you. Our next question comes from Ghansham Panjabi with Robert W. Baird. You may ask your question.
Ghansham Panjabi -Robert W. Baird: Hi guys. Good morning. Hey, first off Tim on the free cash flow guidance updated guidance there. What are you assuming for the CapEx, I think previously it was at four and a quarter?
Timothy Donahue : Yeah, I think probably right around 400 million. As John had mentioned we probably will delay a couple of the project by a quarter or in the case one of the other projects may be a little more that he talked about. So 400.
Ghansham Panjabi -Robert W. Baird: Okay and the working capital, I think last time you said $50 million or so use of cash. You know how should we model that now?
Timothy Donahue : Well, I think that you know we are hopeful we can get it to that level, we’ll see. I guess what I will leave you with its your model, I don’t like to review your models too closely because I am a part of your model, but we are going to work as hard as we can as John just said to get it back to that $50 million.
Ghansham Panjabi -Robert W. Baird: Okay and just given the decline in commodity prices in the last few months, should we anticipate any sort of inventory holding loses or anything like that going forward?
John Conway: I think it’s too soon George to say, I mean I think you are referring basically to a steel issue, not aluminum so much and we are just too far ahead of the end of the year to know where steel is going to go in our categories.
Ghansham Panjabi -Robert W. Baird: Okay and just sort of a broader question John if I could, a lot of issues obviously during the quarter, weather, you mentioned that a couple of times, Europe, North America and may be even China. Lower production, perhaps you know startup issues. Some of the Slovakia issues continuing etcetera. How should we think of this in terms of quantifying it for the third quarter specifically, because it obviously CapEx has increased quite a bit ’010, ‘011 and probably ‘012 as well and if you look at operating income it was only of modest during the quarter. So I am just trying to get a sense of how you would quantify these other issues. Thank you.
John Conway: Well I think fundamentally you need to go back to Tim’s remarks about how much capacity was actually added in the third quarter for example, and as he said one beverage Can line began operation in roughly June which is to say very little capacity was adding to sales in the quarter and the other beverage Can line that we talked about in Cambodia began operations first part of October. So if you go back and you lay out what our CapEx program is and where we think capacity is going to one that is going to come on and one which is going to make a contribution, we are still very confident in ’12 and ’13 we are going to show the kind of growth that we’ve been discussing with you. I mean a point that I think you will remember is that we’ve been sold out in Brazil and Asia for a number of years, we’ve been adding capacity behind the market, not ahead of the market. And so we are very confident of the CapEx program we have underway. I think what we saw in the third quarter in the food business in North America and Europe, I think it’s something that it’s a 2011 event, not a sustained situation and so we think we are going to come back there. But we are always driving productivity, I mean every plant that we have, every new plant that we have constantly come up the learning curve, gets better and better and then you can do things to it, add incremental capacity in a very cost effective way. So the whole program we think is still very much on track, the stories intact and we are confident of it.
Timothy Donahue : The other thing Ghansham keep in mind that the business where we had volume declines as John discussed were in the northern hemisphere and typically that is a big Q2 and Q3 business. The businesses where we are growing and where we continue to see volume growth, generally are not very large businesses in Q3, their season is more Q4 and Q1. So I think it’s just the timing of the year. Some of the profile of our earnings will change over time as the businesses in the southern hemisphere or the Asian businesses that are still in the northern hemisphere which participate around Chinese New Year continue to grow.
Ghansham Panjabi -Robert W. Baird: Okay, thank you.
Operator: Thank you. Our next question comes from Alex Ovshey with Goldman Sachs. You may ask your question.
Alex Ovshey - Goldman Sachs: Good morning. Question on just the growth in Brazil you talked about I think pretty strong. So my question is how much of that is organic growth in Brazil verses just a shift of production from North America or other markets into Brazil given Brazil were short Canned last year and there was importing of Cans happening into brazil because as you look at the end market of consumption of beer in Brazil has been pretty sluggish and the weather has been pretty poor in Brazil as well for the first half though, it’s difficult to reconcile how those organic market growth in Brazil right now?
John Conway: Yeah, we think and talking about the third quarter now, we think that the cans brought into Brazil last year ’10 and carry over into ’11 are largely out of the system now. So when we talk about the third quarter we’re talking about cans that were made and sold in Brazil by the various can companies there. Overall market growth in Brazil in the third quarter was a little bit sluggish for weather reasons. It’s also the lowest quarter as you know, because they’re going now into let’s call it the summer quarters, third or fourth and first. Also you’ve got the holiday season, Christmas season, school holidays and all of that. So it’s seasonally to very, very heavily weighted in Brazil towards the fourth and first quarters. Now, what’s going on in Brazil, the growth may overall, organic may have been somewhat slower, but the soft drink companies were up and beer up somewhat, but you also have the phenomenon, with us anyway, is continuing package mix change in the beer segment which continues to be significant, and then finally we thought and still do that the capacity we’re adding in Brazil was properly lined with what we thought would be happening in the marketplace and some said we were a little ahead of things. We don’t think we were. We filled all our capacity very, very nicely. So at the moment we’ve been fortunate. We’re getting the lion’s share of the growth that’s available, but Tim might want to add to that.
Timothy Donahue: No, other than I think as we said earlier, we brought up three new high speed lines this year. One is a very, very high speed new two line plant in the south and we doubled the plant in the northeast as well, both high speed lines and as John said, we were perhaps ahead of some of the others investing for the growth. So if there were, in total if there were four or five beverage can lines that were commercialized over the last 12 to 15 months we’d add three of them. So we’re getting a larger share of the growth right now just because of the timing of the investment.
Alex Ovshey - Goldman Sachs: Okay, appreciate the color and then question on share buy-back. I don’t think you bought back much stock during the third quarter. Can you just talk about the appetite you have to share buy-back especially with the stock being at pretty low levels right now?
John Conway: Well, generally speaking and as Tim mentioned in his prepared remarks, we continue to subscribe to the proposition that we should return value to our shares, create value for our shareholders appropriately and so we’re looking very hard at it and always with a view towards deploying our cash in the way that’s most effective to drive shareholder value. So we’re very mindful of the opportunity.
Alex Ovshey - Goldman Sachs: Thank you.
Operator: Thank you. Our next question comes from Alton Stump with Longbow Research. You may ask your question.
Alton Stump - Longbow Research: Yes, thank you. Good morning?
John Conway: Morning.
Alton Stump - Longbow Research: I think I’ll just touch briefly as a follow up to your capital spending delay comments. Obviously I’m sure you probably don’t want to about 2012 in too much detail yet, but can you give any color as to where CapEx may, as to where it may come in at next year, assuming it’s coming down substantially?
Timothy Donahue: Yeah, I think it’s very premature to talk about 2012 guidance, but I think we are at least comfortable to talk about capital for next year and I think you should think about a number in the $325 million range.
Alton Stump - Longbow Research: Okay. Great, thanks. And then I think I’ll follow-up with the food can volume weakness. Any idea as to how much of the weak vegetable pack both here and in Europe may shift into 4Q versus being lost through the back half as a whole?
John Conway: Unclear. Frankly we don’t think the fourth quarter in the Americas is going to be great in food. There’s been a little bit of a carryover but not a lot. Europe, we’re doing all right in the first several weeks, but I think we’re not going to, clearly we’re not going to fully recover what we lost in the third quarter and we do not anticipate a strong fourth quarter in food either in North America or in Europe.
Alton Stump - Longbow Research: Okay, great. Thank you. That’s all I have.
Operator: Thank you. Our next question comes from Phil Gresh with JPMC. You may ask your question.
Phil Gresh - JPMC: Yeah, good morning. Just appreciate the color on the inventory side of things. I was wondering how much you think if we were to separate it out, how much do you think you’ll need to under-produce in the fourth quarter in terms of hitting that free cash flow target?
John Conway: I couldn’t quantify that by plant, but it’s certainly incorporated in the earnings guidance that Tim gave you. Tim may want to carry on.
Timothy Donahue: Yeah, I think we’ll see it more in European beverage and European food. If you recall, last year in Q4 in North American food we had lower production to bring our inventories down and so I don’t think there’s an incremental reduction in North American food production levels. But there certainly will be in European food and European beverage, but as John said, it’s incorporated in the earnings guidance.
Phil Gresh - JPMC: Okay and then just one other question on the inventory side. I was kind of wondering about and that is, you’ve started up a lot of plants this year and I assume that each of these plants requires some inventory build that’s kind of ongoing in terms of like safety, stock and things like that. So is there an element of this inventory build this year that’s kind of just a one-time factor that’s hitting the numbers or is that not really material?
Timothy Donahue: Yeah. We did mention that in the prepared remarks, that part of the reason for the increased inventory are the new lines that we’ve installed this year. You can view that as one time and certainly for those locations, but to the extent we’re going to continue to add lines throughout the balance of the capital program we have. We’re going to continue to build inventory for each of those lines that we have going forward and specifically much of the capacity as we’ve discussed is in either the summer hemisphere or Asia where they do have a very strong Q4 and Q1 around the Chinese New Year. So we are, the profile is changing and we’ve discussed that numerous times over the last couple of years, that the working capital profile is changing. Having said that, we are extremely disciplined and mindful of that fact and we’re working as hard as we can to continue to trim third quarter and year-end inventories each year in the northern hemisphere, that is North America, Western Europe.
Phil Gresh - JPMC: Okay. And then just switching gears back to North America, just kind of wondering, again with the margin improvement that you saw there, is there a way to break out how much of that was the plant closure versus the mixed benefit, just in the event that mix maybe turns the other way at some point, how we can think about that in terms of the impact that’s had.
Timothy Donahue: Yeah. We probably, I’m trying to recall, we probably did disclose when we closed the plants last year what we thought the full year earnings impact would be and we are several quarters into it now. So we should be getting the lion’s share of that. I just don’t recall, but it would be, the cost reductions would have been, if we were up 7 million in the quarter, it would have been a large piece of that 7 million which would help to offset the volume decline and then the balance would be the closure’s mix effect.
Phil Gresh - JPMC: Okay. And then just on the North American beverage side, can you give any color around how private label did versus branded? I know private label is generally doing better right now. So do you have any color around that?
John Conway: Well, I think really just to echo your comments; private label did well through the year, not uniformly because some of the merchandisers didn’t push soft drinks as hard as others. But generally speaking, private label did well. And then as you’ve seen, some of the brands did very well also. So price volume strategy varied clearly by customer. Overall I think we did quite well and the fact that we’ve got a very balanced portfolio I think was helpful to us.
Phil Gresh - JPMC: And is it fair to say private label was up in the quarter year-over-year?
John Conway: No, I haven’t looked. I don’t know. I don’t have that kind of detail here.
Phil Gresh - JPMC: Okay. Alright, thanks guys.
Operator: Thank you. Our next question comes from Philip Ng with Jefferies. You may ask your question.
Philip Ng - Jefferies: Morning guys. You guys have done a fabulous job on improving margins in North America from plant shut downs. Is it an opportunity for you to replicate that success in Europe and I do know one of your major competitors out there is taking out some capacity. Just want to get some thoughts around that.
John Conway.: Yeah, that’s one of the things we’re looking closely at now. I think we’ve told you before that we don’t just willy-nilly do restructurings as they arise. We like to wait and be absolutely sure that a restructuring is going to produce the kinds of returns that would appear and we sometimes stockpiled a little bit and tried to do them at times when they’re most convenient for us. So that’s what we did in North America. We waited and then we finally did what we did. We had a very nice pickup, very quickly. We’re looking at similar things in Europe and we’re talking about that and it’s one of the issues about use of cash here over the next six months. So yeah, we think there are some good opportunities for us in Europe.
Philip Ng - Jefferies: Okay, that’s helpful. And just want to get some thoughts on Europe bev in terms of demand, supply. Certainly weather didn’t help during the quarter, but just want to get a sense of what operating rates were shaking out in Europe in general and is there any risk for 2012 just because I know your margins came in a bit this year just because some of those contracts were up for renewal on your contracts for above market rates. So is there any concern or risk for that re-happening in 2012?
John Conway: Yeah, I think with margins we don’t anticipate margin erosion going into ’12. Generally speaking, capacity utilization in Europe has been quite high, over 90% and the first six months of the year the European volume was up pretty much across for the market generally. The third quarter was a fair bit slower. I think still up a little bit overall. So we’re pretty comfortable the market for beverage for next year. By the way, just to follow up to an earlier question, for us private label was up in the third quarter this year versus third quarter last year.
Philip Ng - Jefferies: And then just last question in terms like it was 3Q you guys got hit a bit on the weather front. Just want to get a sense, have trends improved now that weather is less an issue going to Q4?
John Conway: Yeah, I don’t, Tim mentioned Thailand but it’s not a huge market for us. So generally speaking, but who knows? But at the moment I don’t think we see anything that’s adverse from a weather effect standpoint.
Timothy Donahue: No, other than the, as John mentioned, to use the term, the damage that was done in the food pack in Q3, it’s unlikely that all of that, if any, will be recovered in Q4. It’s just the timing of the season and it’s again unfortunate timing. The situation in Thailand continues right now, but as John said it is a smaller market force.
Philip Ng - Jefferies: What about Europe bev, September and October? Have things improved a bit now that weather is kind of more normalized?
John Conway: Well, it was really, as I was saying earlier, we started very well in July in Europe and August and September were weak and as I said earlier a combination we think of weather and economic circumstances. So both we think hurt us and we think probably hurt the industry a little bit as well.
Philip Ng - Jefferies: Okay. Thanks guys.
Operator: Thank you. Our next question comes from Chris Manuel with Wells Fargo. You may ask your question.
Chris Manuel – Wells Fargo: Good morning gentlemen and congratulations on a solid quarter.
John Conway: Morning Chris, welcome back.
Chris Manuel – Wells Fargo: Thank you. A couple of questions for you. First, wanted to follow up a little bit on some of the delays in capacity that you’re undertaking, appreciating how carefully you guys are when you put capital into place and also appreciating you don’t put speculative capacity in, it’s usually sold out as it comes online. Could you maybe give us a little more color to the extent you can about how the process went? I’m assuming it was customer led that they asked for a little more time bringing that on stream. Are there issues with underlying demand? Are there issues that maybe securing funding for their own filling capacity or what have you behind the delays and how we should think about potential for more of those going forward? What types of things should we be monitoring?
John Conway: Yes. Why don’t we just talk about the two in particular? In Turkey, we believe growth in the Turkish beverage can market this year is going to be on the order of 3% to 5%. We had thought higher last year. 2010 was 7%. So we took a look at it and took a look at what the market is going to require over the next nine months, let’s say in Turkey and feel that we can satisfy the market out of our existing plant. Therefore we can push back Turkey a little bit, continue to monitor the situation. So it’s simple as that. Brazil is somewhat similar. Somebody mentioned that demand was a little bit muted in the third quarter in Brazil this year compared to previous quarters and again we felt that we can slide our Belem, Brazil project by three months or so and keep our other plants absolutely fully loaded. Customer hasn’t been any part of this. That is to say the specific customer that supports the Belem plant. We’ll start supplying that customer, big brewer in Belem January 2nd but it will be from our big northern Brazil plant and then we’ll pick up supply a little bit later in the year. So we’re looking at every one of these projects plant by plant, market by market and we can move them in any direction depending on what arises. What we’re not doing is just blindly carrying on with the CapEx program because two years ago we thought it was a good idea.
Chris Manuel – Wells Fargo: Sure, that’s helpful. The second question I had was, again appreciating some earlier commentary about how you are very careful with restructurings and such. When we look at the North American market, I think you said it was down 3%, 3.5% or so for you in the quarter, but that’s been a general trend for the last several years. How do you think about re-allocating capacity in North America or potential for some restructuring also given that you typically do get a little bit of productivity and expanded on what you have already?
John Conway.: Well, to Tim’s point earlier. We just did for us pretty major restructuring within the last 15 months.
Timothy Donahue: He’s talking bev.
John Conway: He’s talking about beverage?
Chris Manuel – Wells Fargo: Yeah, I apologize. I’m talking about beverage.
John Conway.: Oh, I’m sorry. Well, we’ll monitor the situation. If the market continues to slide as it has, then we’ll be taking out capacity. We’re not going to keep excess fixed cost in North America if we don’t need it and we’ve got a lot of use for this equipment in other parts of the world. So we’ll shut plants and move capacity if we need to.
Timothy Donahue: Yeah, and Chris this is actually the first quarter I think in many quarters where we’ve, I think the market was down about 3.5% in the quarter as we were, but this is the first quarter we’ve had in a few years where we’ve had declining volumes. As John mentioned, the portfolio was well balanced and we’ve been outperforming the market for several years on the back of that well balanced portfolio. But as John said, we continue to look at that and we’re all about keeping the plants as fully loaded and as low cost as possible.
Chris Manuel – Wells Fargo: Okay, that’s helpful. Thank you. Good luck.
Operator: Thank you. Our next question comes from Chip Dillon with Vertical Research Partners. You may ask your question.
Chip Dillon - Vertical Research Partners: Oh yes, good morning John and Tim. First question and I know it’s a little early, but with the elevated CapEx the last couple of years, can you give us an early look as to how order magnitude, how much you think depreciation could be higher in 2012 and of course since most of the expansion is in the lower tax jurisdictions, could we see a point or two taken off the tax rate next year?
Timothy Donahue: Well, as I said it’s a bit premature to start talking about expectations or forecast for next year. It clearly is the case though that as we bring these projects out of the construction phase into the completion phase we’ll capitalize the equipment from in progress and begin depreciation and depreciation will go up. I know, I think depreciation was up here in the third quarter of 2011 versus last year. Certainly a slice of that is currency and some of that will be the new capital that’s been capitalized offsetting the fully depreciated assets that roll off, but I just don’t have an exact number for you. As to the taxes, we spend a fair amount of time as most multinational companies do ensuring that we’re paying the appropriate tax rates in all the jurisdictions. As you know the US has a global tax system, so included in our tax rate as well is the repatriation of cash from those areas back to the United States and there is a tax up charge oftentimes between the local rate and the US rate, but we’re always mindful to keep the rate as low as possible. However, we will repatriate cash when as necessary, but I think it’s a little early to say. I don’t want to say that having brought the rate down several points over the last couple of years it’s just too early to be that heroic to say we’re going to bring it down again next year.
Chip Dillon - Vertical Research Partners: Got you, and then I guess thinking strategically, you all have very successful joint ventures around the world, Middle East and in other regions and is there any possibility of thought that you might acquire more of those investments in coming years as your free cash flow rises with the CapEx coming down, or should we really focus on that free cash flow almost certainly going entirely into buyback?
John Conway: Yeah, I think we have been doing that to a degree and we’ve talked about it and made announcements about it over the past several years. So I think when you think about our current portfolio businesses, the right way to think about it would be this. We largely own all of the Asian activities now. There are a few exceptions, but as a general proposition we own them all. We’ve got a couple of things underway but that’s the way you should think of Asia. The Middle East, we’re looking at that. There are some opportunities for us and we may make some changes there. Brazil, however, we have a very good partner. They love the business so I can understand why and I don’t think you’re going to see a change there. So we have been doing what you’re describing, but at this point it isn’t going to be a lot of money as we clean up a few little situations.
Chip Dillon - Vertical Research Partners: Got you. And then just the last quick one here on the two plants that you’ve pushed out of bed. It sounds to me like the Belem plant is just on a different timetable and that that’s I would imagine largely completed, so you can confirm that. But is it fair to say that the Turkey line is really, you haven’t really done much work on that one at this point?
John Conway : No, actually not. We will have completed the building in Turkey by the end of December and we have some equipment in place already and so we’re just going to stretch that out a little bit as I said, start operations probably in the third quarter and time it more effectively we think to the market growth that we see in Turkey.
Chip Dillon - Vertical Research Partners: Sounds great. Thanks guys.
Operator: Thank you and our final question comes from George Staphos with Merrill Lynch. You may ask your question.
George Staphos - Merrill Lynch: Guys, some last quickies. You mentioned what your shipments were globally in beverage and also in food and I think somebody else asked a somewhat similar question earlier in the call. Do you have a sense for what the production was in either beverage or food that to some degree will then have to work off in the fourth quarter?
Timothy Donahue: I don’t have it in front of me now George. Without making a guess which I don’t want to do, I just don’t have it.
John Conway: We do George but we don’t have it here.
George Staphos - Merrill Lynch: Understood. Second question. There’s been some discussion about in Europe for 2012 the potential for some portion of the cost structure, specifically the conversion premium on top of ingot to be not necessarily entirely passed through to customers and pricing of beverage cans. Can you comment as to whether this will be an issue for your or not as we think about 2012, at least preliminarily.
John Conway: We don’t think so George. As we look at our situation and so forth, we don’t think that will have an adverse effect on our margins for the year.
George Staphos - Merrill Lynch: Okay, and the last question, to the degree to which you continue to optimize your production stance in North America and other developed market, this is something Crown has done for years and years obviously as you take the equipment and you move it to other markets that are growing. Are there any markets where you can’t use, any emerging markets I mean, where you can’t use your existing or standard capacity and production lines either in North America or Europe or do you have pretty good amount of freedom to do that? Thanks guys and good luck in the quarter.
Timothy Donahue: Thank you
John Conway: None that I’m aware of, George. You may have electrical issues and so forth, but those lines can be converted and so forth. You may be referring to the bad old days, 20, 30 years ago. Some countries had very significant and draconian restrictions on the use of imported used equipment, but that’s virtually never the case anymore. So no, we don’t see any restrictions on that.
Timothy Donahue: And just to be clear here, John, we’re talking about perspective in the future. Should we develop or create excess capacity in the developed markets, but all of the capital we’ve invested in the programs you see that have been laid out for the last 18 months, all of those installations almost without exception is brand new equipment.
John Conway: Yeah, and the other thing, just to add to that a little bit, I mean one of the things that’s helped us quite a bit and we’re really pleased that we decided to do what we did is we’ve got a very, very effective equipment division that’s focused pretty much entirely on beverage. We think that they’re technology leaders in this segment and we also think that it gives us an ability to move very, very quickly when we spot a new project and coordinate exceptionally well between our operating people and the equipment people. And in addition I think something that some of you don’t pay too much attention that we pay a lot of attention to, we’ve got a global capital projects group which handles all of our projects globally of any technology, 3 piece, 2 piece food aerosol beverage and so we’ve got in-house capability really to do all these projects and we do them all in-house and we think it not only produces economics in terms of efficiencies with regard to CapEx, but also speed to move and I think you can see a lot of that in our projects. It gives us an ability to flex exceptionally well. We’re not negotiating with contractors about what they’re supposed to be doing. We simply are directing our own people to flex their activities.
George Staphos - Merrill Lynch: Thanks for the comments. Good luck.
Timothy Donahue: Thank you, George. Shirley, was that the last call?
Operator: That was the last question.
Timothy Donahue: Okay. Thank you very much, Shirley. That concludes the call today. We do ask you to note that the fourth quarter and year-end 2011 conference call will be scheduled for Thursday, February 2nd 2012 at 9:00 Eastern Time. We want to thank all of you for listening and we look forward to speaking with you again in February. Bye now.
Operator: Thank you and this does conclude today’s conference. We thank you for your participation. At this time you may disconnect your lines.